Operator: Welcome to the Xylem Fourth Quarter and Full Year 2021 Earnings Conference Call. At this time, all participants have been placed on a listen-only mode and the floor will be open for your questions following the presentation. [Operator Instructions] I would now like to turn the call over to Matt Latino, Vice President of Investor Relations. 
Matt Latino: Thank you, Ashley. Good morning, everyone and welcome to Xylem's fourth quarter and full year 2021 earnings conference call. With me today are Chief Executive Officer, Patrick Decker; and Chief Financial Officer, Sandy Rowland. They will provide their perspective on Xylem's fourth quarter and full year 2021 results, and discuss the first quarter and full year outlook for 2022. Following our prepared remarks we will address questions related to the information covered on the call. I'll ask that you please keep to one question and a follow-up and then return to the queue. As a reminder, this call and our webcast are accompanied by a slide presentation available in the Investors section of our website at www.xylem.com. A replay of today's call will be available until midnight on February 10. Please note the replay number is 1-800-695-0395 or 1-402-220-1388. Additionally, the call will be available for playback via the section of our website under the heading Investor Events. Please turn to slide 2. We will make some forward-looking statements on today's call including references to future events or developments that we anticipate will or may occur in the future. These statements are subject to future risks and uncertainties such as those factors described in Xylem's most recent Annual Report on Form 10-K and in subsequent reports filed with the SEC. Please note that the company undertakes no obligation to update any forward-looking statements publicly to reflect subsequent events or circumstances and actual events or results could differ materially from those anticipated. We have provided you with a summary of our key performance metrics including both GAAP and non-GAAP metrics in the appendix. For purposes of today's call all references will be on an adjusted basis unless otherwise indicated and non-GAAP financials have been reconciled for you and are also included in the appendix section of the presentation. Now please turn to slide 3 and I will turn the call over to our CEO, Patrick Decker.
Patrick Decker: Thanks, Matt and good morning, everyone. As we indicated in our release this morning, the team delivered a strong operational performance in the fourth quarter meeting or exceeding our expectations across all major metrics. Despite the challenges that 2021 presented us especially in the second half, I'm very proud of the team for what they did to deliver on our commitments. And as a team they delivered a very strong full year performance. This was reflected by mid single-digit organic revenue growth, solid EBITDA margin expansion of 80 basis points and adjusted earnings per share growth of 21%. And orders grew 23% for the year and in the fourth quarter giving us very strong momentum coming into 2022. We posted our strongest orders growth in our M&CS segment. And it reflects the need and desire of our customers for digital solutions to address their growing needs around water affordability and infrastructure resilience. Our Water Infrastructure and Applied Water segments also posted very strong orders growth for the year and the fourth quarter demonstrating the healthy demand across our portfolio. We continue to experience very strong underlying demand globally with double-digit orders growth across all regions and we expect that momentum to continue throughout 2022 and beyond. And our investments in R&D are clearly paying off enabling us to win market share due to the customer value we're creating. And our investments in geographic coverage have made significant contributions to our overall growth especially in emerging markets where we posted double-digit revenue growth in 2021. Of course, the other side of the story in 2021 was the constrained supply chain challenges of the second half along with inflation that really accelerated in the last quarter. As we anticipated in our last conference call, the severe chip shortage affecting the entire tech sector held back our ability to convert such strong orders into revenue, especially in our M&CS segment. Against that backdrop, the team did an excellent job managing what we can control, bringing discretionary costs down below 2020 levels and taking aggressive pricing actions to mitigate inflationary pressures. In fact, price realization in the fourth quarter was modestly higher than our expectations, and we expect to offset inflation further as we deliver accretive margins in our backlogs. So despite all of the year's headwinds the team not only delivered solid operational results but they did it with heart and purpose. Along the way we made significant progress towards our 2025 signature sustainability goals. One example of that is that the team set a Xylem record for hours volunteered to solve water challenges in our communities around the world. It's a privilege, to be a part of a team with that level of commitment to our mission. Now looking ahead to 2022, we see continued strong demand for our products and solutions, strong fundamentals across our business in terms of productivity and free cash flow conversion, and continued ability to drive price as a market leader to offset inflationary pressures. Nevertheless, our outlook is tempered by the reality of a prolonged chip shortage, limiting the speed at which we can convert orders to revenue. So we are being balanced in our guidance, based upon the visibility we have. Our guidance assumes modest and gradual increases in chip supply in the second half and into 2023. And as volumes return, we expect to realize significant margin expansion consistent with the first half of this past year when we operate in a less chip constrained environment in M&CS. And we see this in the backlog margins we have coming into 2022. In the second half of this year growth in margin expansion both gross margin and EBITDA are expected to return to levels that put us on track to deliver on the 2025 strategic and financial framework that we outlined last September at our Investor Day. In a moment, we'll discuss the assumptions in our 2022 outlook, and speak to our intentions for capital deployment given the strength of our financial and competitive position. But first, I'm going to hand it over to Sandy to dig in briefly on the quarter's results before we turn back to 2022.
Sandy Rowland: Thanks Patrick. Please turn to slide 4, and I'll cover our fourth quarter results. As Patrick indicated, significant chip shortages impacting the utilities end-market in the U.S. more than, offset utilities growth in Europe and strong growth in the Industrial segment globally. Given the quarter's challenges, the team did an outstanding job delivering on our commitments and increasingly tough circumstances with particularly strong performance on price and discipline on costs. In a moment I'll give you a detailed performance by segment. But in short, utilities was down 9% a result of supply chain constraints acutely impacting our smart metering business in the U.S. Industrial grew 7%, on sustained strength in China and healthy activity in the U.S. Commercial was up modestly at 1% and residential was down 4% on challenging comparisons in the prior year when we grew mid-teens. Organic orders were up 23% in the quarter as demand for our technologies continues to be healthy across all segments. EBITDA margin was 16.2% which was within our guided range. Year-over-year EBITDA margin contracted 260 basis points as productivity savings and strong price realization benefits were more than offset by inflation mix and strategic investments. We continue to invest for example in geographic market coverage to serve increasing demand and enhanced digital capabilities across the portfolio. Our EPS in the quarter was $0.63. And please turn to slide 5, and I'll review the quarter's segment performance in a bit more detail. Water Infrastructure orders in the fourth quarter were up 30% organically versus last year. That includes a project cancellation last year in India, which we discussed on a previous call. Otherwise, orders were up mid-single digits. This order's pace reflects resilient demand in our Wastewater Utility business in the U.S. and Europe as well as increasing demand for dewatering particularly in emerging markets. Water Infrastructure revenue was up modestly in the quarter. Healthy growth in Industrial was partly offset by a small decline in our Wastewater Utility business in the U.S. where order to revenue conversion was challenged by long ocean transit times. Geographically, results were mixed for the segment. The U.S. and Western Europe were up low-single digits and mid-single digits respectively. Healthy treatment deliveries in both geographies were offset by the delays I just mentioned. Emerging markets was down low single digits, largely due to an especially strong performance in China last year. EBITDA margin for the segment was down 50 basis points as significant savings from productivity and cost reductions were offset by inflation and strategic investments. Please turn to page 6. In the Applied Water segment orders were up 10% organically in the quarter, driven by healthy demand in all geographies. Revenues increased 3% with high single-digit growth in industrial and a modest increase in commercial, partially offset by sales down mid-single digits in residential. Geographically the US was up high single digits. Growth in all end-markets was led by ongoing industrial recovery. Emerging markets was up mid-single digits on continuing industrial strength in China and momentum in Eastern Europe. Western Europe delivered low single-digits growth with moderate gains balanced across all end-markets. Segment EBITDA margin declined 340 basis points in the quarter. Material and freight inflation more than offset solid productivity gains and accelerating price realization. And now let's turn to slide 7 and I'll cover our Measurement & Control Solutions business. M&CS orders grew 28% organically in the quarter, reflecting strong demand for our metrology solutions as well as healthy demand across all other applications in this segment including test and pipeline assessment services. This puts our M&CS backlog up 63% versus the prior year. As we anticipated, revenue declined 17% due to constrained chip supply. It's worth noting that the growing metrology backlog is both resilient and margin accretive. There have been no cancellations of AMI contracts and we expect large project deployments will resume in the back half of the year as component supply becomes available. Geographically, US revenues were down 21%. Western Europe and emerging markets declined more modestly at 10% and 2%, respectively from pockets of growth in our water quality test business. Segment EBITDA margin in the quarter was down 750 basis points. Volume was the biggest factor as this business gets very strong operating leverage from higher revenues, which were constrained by the lower conversion of orders. Those volume effects along with higher inflation were partially offset by productivity gains and cost discipline. And now let's turn to slide 8 for an overview of cash flows and the company's financial position. Our financial position remains robust as we exit the year with $1.3 billion in cash and available liquidity of more than $2 billion. Net debt-to-EBITDA leverage is 1.2 times. After delivering free cash flow conversion of 181% last year, our free cash flow conversion was 77% in 2021, slightly below our target for the year. While our team made continued progress driving collections, we consciously increased our inventory safety stocks in the second half of the year to mitigate supply chain volatility but we remain committed to at least 100% conversion over the cycle. A further item of note. As we previously advised, we are derisking our balance sheet with the buyout of our largest defined pension plan in the UK. We expect to finalize this transfer in 2022, at which point we'll recognize a non-cash charge of approximately $170 million, primarily consisting of unrecognized actuarial losses, which are reflected in equity today. Lastly, in line with our capital allocation framework. Today we announced an increase in our annual dividend of 7% and that is our 11th consecutive annual increase. Please turn to slide 9 and I'll hand back to Patrick to look forward at 2022.
Patrick Decker: Thanks Sandy. We see strong demand continuing through 2022 and strong fundamentals in all our businesses. On the other hand, the reality is that supply constraints will continue to be an important and not entirely predictable variable. So we are reflecting a responsible set of assumptions in our guidance, while working aggressively to improve the situation. We anticipate chip availability will improve for the year, but not linearly and not all at once. In the first half, shortages are still likely to hold back conversion of orders to revenue with disproportionate impact on our higher-margin solutions. So we'll be focused on operating with discipline, driving price productivity and cost during what we foresee being a transitory period. In the second half of the year, supply should begin to improve modestly and the pace of chip shipments will have a determining effect on our growth rate and margin expansion. As components begin to come through, the margin upside is highly accretive to our margin profile. The positive side of this dynamic was apparent in the first half of 2021 when chip supply did not limit M&CS growth and we saw margin expansion of more than 500 basis points in the portfolio. Given the size and growth of our metrology backlogs, it's worth expanding on a point Sandy made a moment ago about the resilience of those backlogs. Large AMI projects are not easily substituted and they offer a compelling business case for our customers, particularly as they are addressing issues of affordability and regulatory commitments. Our utility customers often spend years in pilot testing, approval and procurement to determine these solutions. So despite these near-term delays, we do not anticipate backlog erosion. Turning to slide 10. You can see our focus areas for 2022, which will keep us aligned to our long-term financial framework. The team is managing through the current challenges with great discipline, working with both suppliers and customers. Even though we expect chip supply will gradually improve in the second half we don't anticipate suppliers will be able to serve 100% of our requirements given the sheer size of our order books. So we're working with our most critical supply partner to accelerate redesign options and we're staying close to our customers to prioritize serving their most mission-critical needs. Since visibility about the likely rate of improvement is imperfect, we're also phasing our ongoing strategic investments with an eye on leading indicators of supply recovery. Now, before I turn to Sandy for more detail on our outlook, I want to comment briefly on capital deployment. We're coming into the year with a strong balance sheet and more than $2 billion in liquidity. So, M&A naturally comes to mind as a strategic accelerator for sustained growth and margin expansion. And those of you who've been with us a while, you know that we're not hesitant to do a deal when there's a good deal to be done in service of advancing the company's overall strategy. And our view is that there are opportunities for strategic value creation in the marketplace for a company like us with our financial strength and sector leadership. But we will continue to be disciplined and selective with an eye towards significant value creation. Now, I'll turn it back over to Sandy for more on our outlook.
Sandy Rowland: Thanks, Patrick. We expect underlying demand will continue to be healthy through 2022. However, as Patrick just described, business conditions aren't likely to normalize on an entirely predictable path. So we've taken a view of the year that reflects those dynamics, balancing external constraints and potential upsides. We anticipate our utility business overall which is just north of 50% of Xylem revenues will grow low-single-digits in 2022. On the wastewater side, we expect low-single-digit to mid-single-digit growth as we see a continuation of resilient global demand. We anticipate strong demand in emerging markets, driven by considerable investment in public utilities, increasing OpEx activity as well as the benefit of our localization strategy. The outlook for longer-term capital project spending and bid activity is very solid globally. On the clean water side, we anticipate revenues will be flat. Demand remains robust but deliveries will be constrained by chip shortages mentioned earlier. We foresee healthy momentum in our test and assessment services businesses due to increasing focus on infrastructure and climate challenges. And now, please turn to slide 12. Looking at the Industrial end market, we expect to grow mid-single-digits on steady demand for our solutions globally. We continue to see healthy growth in dewatering, especially in emerging markets from increasing mining demand and benefiting from our localization strategies. In the US and Western Europe, we expect solid order rates and backlog expansion as activity ramps in light industrial applications. The Commercial end market should deliver mid-single-digit growth on solid replacement business in the US as well as acceleration of institutional construction. In Europe, we see increased construction activity, driven by the rise in funding for green buildings, driving demand for our new eco-friendly product offerings in that space. In residential, our smallest end-market, we are expecting low single-digit to mid-single-digit growth with healthy demand. And now, let's turn to Slide 13, and I'll walk you through our updated guidance. For Xylem overall, we foresee full year 2022 organic revenue growth in the range of 3% to 5% with flat revenues in the first half and high single-digit growth in the second half. This breaks down by segment as follows: Mid-single-digit growth in Water Infrastructure with solid growth in both Wastewater Utilities and Industrial. Mid-single-digit growth in Applied Water from solid mid-single-digit growth in Industrial and Commercial applications and low to mid-single-digit growth in residential. We expect Measurement & Control Solutions to be flattish. As Patrick mentioned earlier, this assumes down double-digits in this half of the year and up double-digits in the second half. Although growth is still likely to be partially constrained by the gradual return of chip supply as the second half progresses. Despite that partial recoverability and the availability of chips, volumes and margins will remain supply constrained. The constraint will have an unfavorable impact on volume and mix more than offsetting the benefits of price realization and productivity savings through the year. For 2022, we expect adjusted EBITDA to be in the range of 16% to 17%. In the first half of the year, we anticipate EBITDA will be approximately 14% to 15%, bouncing back to 18% to 19% in the second half. And this puts EBITDA in the second half in line with the long-term targets we laid out at Investor Day. This yields an adjusted EPS range of $2.35 to $2.70. Free cash flow conversion is expected to be at least 100% of net income. We have provided you with other full year assumptions on this slide to supplement your models. We're assuming a euro to dollar conversion rate of 1.13 and as foreign exchange can be volatile, our FX sensitivity table is included in the appendix. And now drilling down in the first quarter, we anticipate total company organic revenues will be in the range of flat to up 2%. This includes mid-single-digit growth in Water Infrastructure and Applied Water and M&CS is expected to decline low double-digits. We expect first quarter adjusted EBITDA margin to be in the range of 13.5% to 14% impacted by higher inflation and supply chain challenges. We expect this will be the low point in adjusted EBITDA in the year with accelerating sequential quarterly improvement. And with that please turn to Slide 14 and I'll turn the call back over to Patrick for closing comments. 
Patrick Decker: Thanks, Sandy. We're coming into 2022 in a strong and enviable position. The market demand for our solutions and technologies has never been greater. We have strong commercial momentum with very strong orders growth and high-margin backlogs that prove our conviction about the investments we've been making and our customers need and appetite and the foundation and flexibility of a powerful balance sheet giving us strategic options in a dynamic marketplace. In the short term of course, no one likes being constrained by externalities. But we have strong resolve and operating discipline and fully expect to deliver a year of results on track with our 2025 strategic and financial goals and that are aligned to our overall investment thesis, that of being a technology leader with a durable business model, bringing differentiated offerings to a market of rising demand for sustainable water solutions, committed to driving above-market growth and margin expansion as our portfolio continues to digitize and to accelerating value creation with disciplined active capital allocation. So now operator, I'll turn the call over to you for questions.
Operator: The floor is now open for questions. [Operator Instructions] And our first question comes from Deane Dray with RBC Capital Markets. Please go ahead.
Deane Dray: Thank you. Good morning, everyone.
Patrick Decker: Hey. Good morning, Dean. How are you doing?
Sandy Rowland: Good morning, Dean.
Deane Dray: Really well. Thanks. Look, since it's the biggest swing factor in your guidance the chip shortage and it didn't sound like you have Tony on the line this quarter, but I had some questions that -- if we can go into a little more detail on the shortage situation. And again, this gets a bit more technical. But can you give us color between your shortages on the microprocessor side which typically you can get substitutes and alternative sources versus microcontrollers, which are so much more tied to firmware and it's really hard to substitute and redesign. So the extent to which that could be helpful is there a distinction there in terms of shortages and both and when you expect to get recovery in those two-class of chips?
Patrick Decker: Sure. Certainly, Deane. Great question. So you've nailed it. If we look at our supply chain challenges right now, 80% of the issue roughly is microcontrollers. And I'll come back in a moment to what we're doing there to try to mitigate that as best we can. And we can also talk about what we're doing to make sure that we hold on to the backlog that we've got right now which has really attractive margins in it. But the 20% that is more on the microprocessing side, we face those challenges in Q4 and the team did a terrific job on substitution, really going out into the open market and broad distribution and really helped us mitigate that. Otherwise we would have really had a bigger hit in Q4 than what we mitigated, now really is about the microcontroller. So, what we're doing there, we are partnering with our suppliers on redesign. And there what we're doing is we're redesigning along with where they see future designs going across the broader technology sector. But those really -- those impacts really aren't going to hit us until -- or benefit us until probably Q4 going into '23 because it is a lead time. We are doing alternate sourcing and that's certainly helping us buffer some of the demand here. And we're also resurrecting some of our legacy meters as a bridge in some of these larger AMI implementations to go ahead and get these projects started. Lastly, I would say on the large AMI deals, what we work with our customers on is they've really been encouraged by us going out and beginning to build out the comm side the communication side. So we get the products going. And we've also opened up them to have the opportunity to go out and use alternate meters. And honestly, Deane, they've come back to us because, they realize, they believe in the value proposition, they see what we're doing here and they want to be with us. So, we're working it every day. We feel good about where we are in terms of protecting backlog and the team is all over this in terms of what we can do to mitigate the chip supply situation.
Deane Dray: All right. I'm glad I asked to that level of detail because, a couple often times you just say chip shortage and move on. But...
Patrick Decker: Deane, on that point also, Deane, just to give you a feel for kind of how things are going with our suppliers right now. We had a number of de-commits from our large suppliers in Q4. Those de-commits have ceased. We haven't had a de-commit for quite some time now. They've actually been delivering on forecast. And the lead times, while they are still very lengthy, I mean we had lead times up to 78 weeks on some of our key components here. Those have moved down modestly, but the good news is they're moving in the right direction.
Deane Dray: Got it. And I appreciate the color on the not losing share or having cancellations within the meter backlog. So that's real helpful. And just the follow-up question, this has come up a couple of different times and ways in this call is, you've booked the 23% organic order growth, which is really healthy and gives you that longer-term look. And you've said that the implied margin are healthy or accretive. I just wonder, what base margin are you comparing that to? And just the extent to which we're all looking at what the 2025 target is? And so, how would the -- where is your booking now compare on profitability either this year or for next year? Thanks.
Sandy Rowland: Yes. Great question, Deane. The momentum that we have on the orders front is really, really strong and it's broad-based across our portfolio. So when I'll start with more of our book and ship businesses in AWS and water infrastructure, there we know that we've taken price actions throughout 2021. And actually we've taken some incremental price actions already in 2022. And so we know that those orders that we recently secured are going to be more competitive and balanced against the inflation headwinds that we're facing. When we think about the longer-term large AMI contracts, most of those contracts have inflation adjusters, which are tied to CPI. And so that -- while those -- all of those won't be delivered in 2022, it's going to take us some time once we get back to good flow on the chip side to clear out that backlog, but those price resets will help protect the margin. And when we think about those large AMI deals where we're looking at gross margins above 40%.
Patrick Decker: Yes, incremental margins. 
Deane Dray: Real helpful. Thank you.
Patrick Decker: Thank you, Deane.
Operator: And our next question comes from Nathan Jones with Stifel. Please go ahead. Your line is open.
Nathan Jones: Good morning everyone.
Patrick Decker: Hey, Nate. How are you doing?
Sandy Rowland: Good morning Nate.
Nathan Jones: Very well, thanks. Very well, thanks. I want to start off just talking a little bit about price versus inflation. I think the disclosure for this quarter registration at 560 basis points in price at 200 basis points. I'm a little surprised you aren't able to capture more price and close that gap a little bit to inflation, given demand is very strong given customers across industry have been conditioned to expect price increases at the moment. Are there opportunities for you to be not just a little bit more aggressive on price, but significantly more aggressive on price to close that gap? 
Sandy Rowland: Yes. I think really good question Nate. The inflation rate certainly picked up on us in Q4. So when we look at sort of exit -- when we look at overall inflation for 2021, it was in the 8% range. And when we exited Q4, it bumped up to about 12%. So that was a meaningful increase and it actually outpaced what we had incorporated into our guide. On the flip side, we did get some more price in the fourth quarter than we had modeled and so they kind of netted, which is why we came in with EBITDA margins in line with our forecast.
Patrick Decker: And so Nate what I would offer up here is as we -- it really is a story of momentum. So to Sandy's point we were very aggressive on price in Q4 and continue to be. And our price/cost is going to be positive as we go into Q2. We weren't able to go in and reprice all of our backlog. We repriced some of it, but we're going to be price cost positive in Q2. That really ramps in the back half of 2022. And for the full year we are going to be price/cost positive for the full year.
Nathan Jones: That's very encouraging. 
Patrick Decker: The teams have done a great job on the pricing front.
Nathan Jones: Thanks. Cancellations you talked about, no cancellations on the AMI side of the metering business. Have you seen cancellations on more of the replacement side or losing some share on the replacement side? I understand the differences between your business and some competitive businesses. Maybe you could explain those differences a little bit. Their results -- Badger had 20-odd percent meter growth. Neptune had double-digit meter growth. Can you talk a little bit more about what the differences between those businesses are more attacking your side of it, I think, contributes to it. Just the differences there that are resulting in that differentiated procurement. 
Patrick Decker: Sure. So Nate, yes, so perhaps what I can do is just spend a moment on explaining kind of the metering market. So you've got two different types of meters. You've got static, which is really kind of where the market is going that's where the market overall is going. Our competitors are also moving that direction and then you have the mechanical kind of traditional meters, which we certainly have those, but it's a much smaller portion of our portfolio. The benefits of static versus mechanical from our view and certainly customers view is static meters are more accurate over the life of the meter. You have less moving parts in a static meter, you're able to build in other kind of bells and whistles like advanced alarms around link detection. And obviously, with the data that it's able to gather helps around non-revenue water. So there's a lot of kind of economic and environmental value and that's why the industry is moving towards static. We are further along in that move. And so as a result of that, we are more exposed to chips because the microcontroller really is the brain, of that static meter. And so to your question around, kind of the day-to-day replacement business, to be honest we have seen some customers that have gone back to traditional to say "Hey it's good enough right now." But that's only transitory. And even we are resurrecting, our old mechanical meters to help bridge that time that we're there. Most importantly, on these larger signature wins, again these large AMI deals, which are really the indicator of where the market is going. We've not lost those. And if anything we've seen -- we're still winning deals in that environment because the value proposition is so strong and so robust. And again, what we're focusing on right now is, making sure we get the communications platform in place to really secure those and move those forward. 
Nathan Jones: Great. Thanks for taking my questions. I’ll pass it on.
Patrick Decker: Thank you, Nathan.
Matt Latino: Thank you, Nathan.
Operator: Next question comes from Bryan Blair with Oppenheimer. Please go ahead. Your line is open. 
Bryan Blair: Good morning. Thanks for taking my questions.
Patrick Decker: Good morning, Bryan
Sandy Rowland: Good morning.
Bryan Blair: I was hoping you could offer a little more color on dewatering trends. You highlighted the strength in international markets specifically emerging markets. I'm curious about the relative growth of equipment sales versus rental. The stronger drop-through on the latter? And what's contemplated in your guidance for that business, specifically? 
Sandy Rowland: So good question. I think we have seen increasing momentum in dewatering, as we move throughout the year. And in fourth quarter overall, we saw high single-digit growth. We actually saw growth in all of our markets but especially strong momentum coming in emerging markets because of strong mining demand. Really, it was on both fronts the rental front and the equipment sales front both showed positive signs. We've taken some steps this year to invest a little bit more on the CapEx side to refresh our fleet. And we expect to see some positive benefits from that as we go into 2022. 
Patrick Decker: Yes. Bryan one of the things -- on that last point, one of the things that we had done when we were in the down cycle in that business, we were curtailing some of our CapEx to protect margins and just see kind of stabilize that business. Now we really see there being opportunity that is, we invest even just a little bit more in the fleet and from a CapEx perspective That traditionally has yielded very positive returns, both from a growth and a margins perspective. And we don't have all that built into our guide but we do see a strong recovery there. 
Bryan Blair: I appreciate the color. And as a follow-up focusing specifically on the US market. Just curious how your team is thinking about the potential catalyst from infrastructure spending. There are other areas of your business that I guess somewhat naturally get more attention on that front. But I would imagine the tailwinds for general construction activity, commodity demand would read through pretty nicely perhaps more of a 2023, 2024 catalyst but any color on that front would be helpful. 
Patrick Decker: Yes, certainly. You're right we don't have any of that built into our guide for 2022. It really is -- and we didn't really even have anything built in meaningfully into our outline of kind of long-range, objectives in our Investor Day because we always talked about that being a possible support mechanism. So it is at 2023 and beyond. But yes, just some specifics on this. I know others have commented both positive and maybe not so positive on when it's going to happen.  Our view is we're talking about $66 billion of investment in a critical Water Infrastructure. 80% of that is going to be administered by the EPA, who we have very strong relationships with at the highest levels. Nearly half of the 193 programs that are funded in this bill, contain commercial opportunities for Xylem. It is more than a one or two-year thing. It really spans over several years. So, there clearly are commercial opportunities there. But again, they're not in our outlook but we are net positive on the trends that we're seeing right now, and the conversations we're having with customers. 
Bryan Blair: Understood. I appreciate the detail there. I was -- perhaps remiss. I was referring specifically to the dewatering outlook, but I understand there are broad-based prospective tailwinds?
Patrick Decker: Yeah. No. I think – I think the areas that it would be most impactful for us would really be in predominantly three specific areas. It would be certainly dewatering on the construction side, you would see it in our water infrastructure business on the treatment side most notably. We'd also see it on the clean water side, as we're talking about the – addressing non-revenue water through some of our solutions there. And then there would be an ancillary benefit even on our commercial building and industrial side in Applied Water, where you've got a knock-on effect of some of this infrastructure demand. But it's really going to be predominantly in dewatering treatment and the clean water side?
Bryan Blair: Helpful color. Thanks, again.
Patrick Decker: Thank you.
Operator: We'll take our next question from Ryan Connors with Boenning and Scattergood. Please go ahead. Your line is open.
Ryan Connors: Great. Thanks for taking my question.
Patrick Decker: Sure.
Ryan Connors: I wanted to just look at the M&CS from a bigger picture standpoint. And I think, it's fully recognized that supply chain has been a big challenge. But really, if you look back the M&CS profitability issues really predated the pandemic and the supply chain issues. I mean, if you look back at some of the press release and commentary from 2018 and 2019. I mean, that business has been sort of a drag on profitability for a long time. So is – I'm wondering, what your perspective is on that? And is part of the takeaway that it's not a great business in normal times and it's – we see it's a really bad business when things get tough, or I mean what's the longer picture looking back at the pre-COVID challenges in M&CS?
Patrick Decker: Sure, Ryan. Fair question. I look at the proof points of this business and that is I look at the backlog, so I look at the investments we made I look at the deals that, we've won, I look at the margin profile of those deals in the backlog. I look at the margin profile of even our repair replacement business, and it is very attractive. I look back at the first half of 2021, where we demonstrated even mid-single-digit growth. And we showed 500 basis points of margin expansion from an EBITDA standpoint during that time frame. Have we been – have we had our licks and our knocks over the last few years, absolutely, whether it be a battery supplier having a fire, whether it be trade conflicts. Now, we have the impacts of chip shortages. Yes, that is the nature unfortunately of us being in a technology leaning business, but the proof points are there. The investments that we've made are paying off in terms of demand, margin profile, and we love this business. And we – again, we're guiding responsibly this year. We want to give you a balanced view. And even within that balance view look at the margin profile of what we're committing to in the second half of the year, and that is right in track and right on line with what we laid out in Investor Day back in September.
Ryan Connors: Now, one of the things that a relevant peer company had an issue with the tech business where it was repeatedly the source of trouble and discussion disproportionate to its size and decided, you know, what we're going to just fold that into the other businesses to keep it from attracting so much attention to itself. Would you – would there – and I know M&CS was a relatively new segment. Sensus, I guess, was within water infrastructure for a while, and then it was broken out. Would there be any sense to making a similar move to kind of changing the reporting structure so that M&CS doesn't repeatedly sort of dominate the discussion as it has?
Patrick Decker: Yeah. Just for a matter of correction. So, actually, Sensus was not part of water infrastructure. So I just want to clarify that. It's always been a stand-alone piece. And no we don't have any plans or any reporting changes or integration. I mean, I want to be clear to all listening. It's – not everything we're doing from a digital standpoint is happening within M&CS. M&CS is a proxy for the clean water side of the utility market. Water Infrastructure is a proxy for the wastewater side of utility market, and Applied Water is a proxy for those customers in the world that consume water. Digital runs through all three of them. It just right now is more prominent within M&CS. And as a result of that, that's why we're getting hit on the chip side. I mean, 30% to 40% of our M&CS revenue is exposed to chip shortages right now. And two-thirds of our backlog is dependent on chips. But that is a result quite frankly of the demand that we've created in the marketplace because of the innovation that we're driving. So no, there's no plans to rethink or change our reporting structure.
Ryan Connors: Okay. Thanks for your time.
Patrick Decker: Thank you.
Operator: Our next question comes from Brian Lee with Goldman Sachs. Please go ahead. Your line is open.
Unidentified Analyst: Hi, everyone. This is Miguel on for Brian. Thanks for taking the time.
Patrick Decker: Hey, Miguel.
Sandy Rowland: Good morning, Miguel.
Unidentified Analyst: Good morning. Just wanted to touch back on the M&CS cadence that you laid out for 2022, low-double-digits in the first half and then high-double-digits in the second half. And then you also noted that organic growth is going to be flattish for this year, but the backlog is going to be rolling through and that backlog has grown. So when we think about the cadence for the year, how much of that first half second half cadence is that backlog getting converted? And then, how much of that might be any additional price actions that might be also contributing to that cadence? Thanks. And I have a follow-on.
Sandy Rowland: Yes. So just to give you some perspective on how we're thinking about M&CS and how it shifts through the year. We exited Q4 of 2021 with about $300 million of revenue in the segment. And so that would put us on a $1.2 billion run rate for the year. Getting back to flat assumes that throughout the year we kind of add about $20 million of incremental revenue each quarter. And it puts us back at the end of 2022, very much like what we saw in the first half of 2021 from a size perspective. And while we're starting to eat into some of the backlog, we're by no means clearing all of that in 2022. That's going to take 18 to 24 months to get that worked through. And so we would expect very strong growth coming out of this segment in 2023 and 2024.
Patrick Decker: So we've again built what we believe to be a balanced and responsible guide here. By means is there a huge hockey stick built into this guide. And certainly, what we see in terms of backlog conversion, I mean that is the upside variable for us as we look out over time here. And again, the margins that are built into that.
Unidentified Analyst: Okay, great. That's super helpful. And my last question, I can pass it on is, so last quarter you called out some order push-outs in the fourth quarter into 2022. And then just thinking through the guidance for this year is 3% to 5% organic and then, long-term annual organic growth is 46%. You mentioned you didn't lose orders. But how do we think about I guess, a bridge on those orders coming out of 2021 and into 2022, the guidance 3% to 5% organic in 2022 and that compares to the long-term guidance of 4% to 6%. Just trying to think through those orders. But then, you also mentioned the 18 to 24 months, I guess it will take to flow through all that backlog. So, just looking for a little bit more color there. Thanks.
Patrick Decker: Sure. Yes. So, we've got -- we came into the year talking about -- I think in the last call we talked about there being about $100 million of orders that had moved to the right based on supply issues. That number right now would probably be about $120 million, that's moved to the right. And so to Sandy's point, we're really not eating tremendously into backlog in this guide. That happens even more in 2023. So, when you look at our orders growth for the full year of 2021 and even Q4, a big chunk of that is deals and the M&CS backlog that don't convert until 2023. And so, that really is the big swing factor here in our guidance is how quickly can we convert that volume based upon supply. So we exit this year, second half more in line with that up mid to high-single-digits year-over-year, and we would expect that to continue in line with what we talked about at Investor Day.
Unidentified Analyst: Okay, great. Thanks. It’s very helpful. I’ll pass it on.
Patrick Decker: Sure.
Operator: And we'll take our next question from Andy Kaplowitz with Citigroup. Please go ahead.
Andy Kaplowitz: Good morning, everyone.
Patrick Decker: Good morning.
Sandy Rowland: Good morning, Andy.
Andy Kaplowitz: Just focusing on capital deployment for a minute. Your balance sheet is obviously in really good shape here and we know you've been a little more quiet on the M&A side lately. So, do you think 2022 is more of an active year for you which could include M&A or maybe the potential for a bigger repurchase given what the stock is doing?
Patrick Decker: Yes. Thanks for the question. As you said I mean we are coming into the year with a really strong balance sheet again over $2 billion in liquidity. As always it takes two to tango here. And I think we've shown before that we're not hesitant to get a deal done when there's a really good deal to be done. I do think that the -- there's an attractive market right now. There are assets out there both of scale and even kind of small to medium size that we have been studying and I think this will be an active year. And certainly what's going on in the markets right now by no means deters us from that commitment. They will always tie back to our overall strategy, but it's a rich market and we're looking forward to 2022.
Andy Kaplowitz: And then Patrick what are infrastructures hung in there in terms of margin performance a fair amount better than the other two segments. We obviously know about the chips impacting M&CS. But is there anything different in terms of that segment's performance that you might be able to apply to other segments to improve their performance as you wait for the chip shortage to run its course and your backlog to burn.
Patrick Decker: Sure. I would say both Water Infrastructure and Applied Water are they are more mature businesses. They are we're market leaders in that space as we are in M&CS but they're in different end-markets than our M&CS segment is in terms of a conversion to digital and kind of being a large deal kind of dependent. So, they've done a great job. Those teams have done a great job of operational discipline around productivity price realization. They continue to do that. We continue to invest -- and those businesses our vitality indices in both those businesses continue to be quite impressive in terms of how we're driving innovation in that space. So, very pleased with it. I think the water infrastructure business serves the wastewater side of the market for the most part. That does tend to be a more stable environment where the big chunk of that is OpEx versus CapEx from a utility perspective. And on the Applied Water side, they're serving the users of water which again tend to be more stable in terms of end-market demand. And the reason we've outperformed the market there is really the aggressive stance we've taken on new products and entering some new markets on the emerging market side. So, there's nothing I would say we translate from those two over to M&CS. Each one of them is in a different part of the cycle and serving different part of the market. 
Andy Kaplowitz: Appreciate it Patrick.
Patrick Decker: Thank you.
Operator: We will take our next question from John Walsh with Credit Suisse. Please go ahead.
John Walsh: Hi, good morning.
Patrick Decker: Good morning.
Sandy Rowland: Good morning John.
Patrick Decker: Maybe just two quick ones for me. Following up to Deane's question, we've been starting to hear some companies talk about this metric of kind of how much of semi chips or components they've already secured to give them visibility into their outlook. So, you made the comments you've had no de-commits. But I'm just curious on your commitments from your suppliers do you have the majority of what you need committed at least to deliver on your guide, or do you need to get more commitments from your suppliers to deliver on the guide?
Patrick Decker: Yes. No great question John. So, our guide really reflects a modest recovery in the chip supply. So, to put some numbers at least directionally around that obviously it depends upon the product line and specifically the component. But overall coming into the year, we only were getting about half of what our demand was on the critical components in terms -- if you think about what we could ship in terms of backlog versus what we were able to we're talking 50% supply there. Our guide has reflected in that a gradual recovery that really does not start even until the second half of the year and we get roughly back to about 75% of our demand that's there. And then that improves continually into 2023 and beyond. So, we think we've been responsible here in balance in our guide. It does not assume a miraculous recovery. And clearly that is the big swing factor. If that were to improve considerably than so would our outlook. But right now that's what we see. And that's why we're guiding the way we are.
John Walsh: Great. Thank you for that color. And then, maybe just one on expectations of where backlog and orders could go for the year, you obviously talked about a lot of demand. Would you expect that backlog kind of burns through the year as you convert into sales, or could we expect to see backlog kind of continue to grow?
Sandy Rowland: Yeah. You know John, I think we talked a lot about this, that we're not going to be able to eat into a tremendous amount of our backlog, particularly in the M&CS segment because of the supply chain shortages. So when I look at Xylem overall, we would expect backlog to continue to grow in 2022. There are a couple of segments where we have especially large backlogs that are really book and ship business. And if we get customers back into more normal ordering patterns you may see a modest reduction there. But overall, we expect next year that we'll be talking about strong backlogs as well. The pipeline the bidding pipeline and funnel still looks really robust.
John Walsh: Great, I appreciate you taking my questions. I'll pass it along.
Patrick Decker: Thank you.
Operator: [Operator Instructions] We'll take our next question from Andrew Buscaglia with Berenberg. Please go ahead.
Andrew Buscaglia: Good morning guys. I was hoping you can talk a…
Patrick Decker: Good morning.
Matt Latino: Good morning, Andrew.
Andrew Buscaglia: I was hoping you can talk a little bit about -- you're not seeing, cancellations which is great in your backlog building. If we are to see some of these projects move forward, I guess, where do you feel more optimistic regionally that this is going to occur. And I think I say that because I think earlier this week the Finance Minister of India is calling out $530 billion in public infrastructure spending in one year I think. So I'm just wondering if we're going to see upside if these delays move forward, where will it be coming from do you think?
Patrick Decker: Sure. So, certainly, I would say, the two areas that we would see more meaningful progression. And we feel very good about our emerging markets business. We continue to expect that to be growing in the high-single digits. It's been a great performing part of our portfolio for a number of years now. And if anything that business has become more balanced, I would say before we were very largely dependent on China. China is still a great business for us. And we expect great results there. But it's good to see the rest of our portfolio there move forward. It's also more mature in terms of OpEx spend versus CapEx. So that's one area where we think -- we feel good about it and there could be opportunities to accelerate that. It really -- the biggest swing factor would be within M&CS. And it's mostly water utilities in North America. And I would say there, it really is the large utilities where we've won these large AMI deals where it is less likely that they would ever switch out to someone else. And as I said earlier, we're already doing the comms work to secure that volume going forward. And so if there were any kind of releasing of orders in terms of being able to convert them it would be in that space. Those are the two big swing factors for us.
Andrew Buscaglia: Okay, interesting. And maybe one last one on -- with your capital allocation and M&A, you had some commentary there. I'm wondering, now that the supply chain challenges seem to be more prolonged. Is that kind of -- maybe you hesitate in terms of moving forward with anything until you get a better handle on rightsizing the ship here? Or is it the other case where do you think the -- do you think some of your targets might feel we're comfortable being part of a bigger entity like yours where the supply chain challenges may work in your favor I wonder.
Patrick Decker: Yeah. So it's a great question we're experiencing right now in terms of the chip supply issue does not change our view on M&A. Our resolve there is strong. We see attractive opportunities working through these supply chain challenges. We have the team in place that's all over this. And they would not be distracted by anything we might do on the M&A side. At the same time, I think you're pointing to the fact that, certainly in these types of situations companies at size and scale certainly have an advantage and we certainly look to leverage that strength. When the time is right and the opportunity is right and again it takes two to tango.
Andrew Buscaglia: Right. Thanks very much.
Patrick Decker: Thank you.
Operator: Next question comes from Joe Giordano with Cowen & Company. Please go ahead. 
Joe Giordano: Hi, guys. Good morning. Thanks for squeezing me in. 
Patrick Decker: Hi, Joe. Good morning.
Joe Giordano: Hey. So Patrick you've referenced a couple of times on M&CS like first half of 2021 is like a barometer of where we might exit. If I look back though like even first half 2021 it's still pretty far away from a margin standpoint from like what we saw in 2017-2018 on EBITDA. Like what kind of conditions need to be in place to really get that business to like a 20% level? Is that like a realistic couple of years outlook? 
Patrick Decker: Yes. No, it's a great question Joe. So if you think back over time after we acquired the Sensus business and we built the M&CS segment the portfolio, we also made a fairly significant investment in digital whether it be in the metrology business and some new product introductions designing for large deals that we were looking to win. And also we were – pardon me, making investments in some of the new digital acquisitions that we made. So again that's paying off now when you look at the growth in orders and backlog the margin visibility we have in that. So that is a period of time that we were going through. And when we've looked at this segment when we get to a run rate of roughly $400 million in revenue which we have visibility to in our backlog you're looking at EBITDA margins that are 20% plus. So I realize that people have been patient, people have been wondering kind of what that curve is. And again it really is about demand that we see in backlog and the margin profile that we see. But that time line that you're talking about Joe was a period of investment. 
Joe Giordano: Yes. Not fair. I also noticed that the inflation at AWS was like significantly higher than the other two segments. That was just like a weird kind of way it flowed in on a quarterly cadence but anything that we need to note there? 
Sandy Rowland: No that's a great observation, Joe. I think that's a trend we've been seeing all year that the inflation has impacted our AWS business the most. We did see that tick up in Q4. I would say that's part of the business that we're also seeing the greatest price realization. And we're a little bit out of balance in Q1. And as we move into Q2 and the back half of the year, we're going to be in a much stronger position there in light of the actions that we're taking to drive more price realization. 
Patrick Decker: And I would say Joe the other piece of this is Applied Water is the business that is also more U.S.-centric in terms of impact there. We clearly have seen higher inflation from a geographic standpoint in the US. We've seen that also in M&CS, but the reason you don't hear us talking as much about it is because again we have these price clauses in our large deals in the backlog. So it's a different kind of cycle that we're facing in those two businesses. 
Joe Giordano: Thanks, guys.
Patrick Decker: Thank you.
Operator: We'll go next to Graham Price with Raymond James. Please go ahead. 
Graham Price: Hi. Good morning and thank you for taking my question. 
Patrick Decker: Sure.
Graham Price: I guess on the infrastructure spending side you talked about the US and emerging markets and you specifically called out strong funding activity in Europe. So I was wondering what you're seeing there both with respect to spending and then time frames as well. Is that a 2022 story or more of a 2023?
Patrick Decker: Yes. I think, in the aggregate, discussions around infrastructure spending by geography. I would say certainly in US and Europe that is more of a '23 story. We don't have that really reflected in our guide. I think that when you look at it in the various countries that we label as emerging markets, China is in its first year of its latest five-year plan. So, there will be softness there in the early part of this year based upon our historical experience. And then it will quickly begin to ramp. So we still feel very good about China. India, other parts of Eastern Europe as an example, we see those being opportunities and benefits that we will see in '22, because those programs are already active. But I think for US and Europe which is the largest chunk of this, it really is more of a '23 story. Otherwise Europe is in a very healthy state right now from a demand standpoint. And we don't really see any shocks or big inflection points there. It's pretty predictable for us right now as it relates to Europe.
Graham Price: Got it. Thank you. That's certainly helpful. And then just curious, I guess for 4Q, did you see any site access issues due to Omicron and COVID? And then, is that an issue that you're tracking going forward?
Patrick Decker: We did. It definitely is one we're tracking going forward. We didn't have any meaningful site access impacts from Omicron. But we certainly have supply chain challenges in terms of logistics and port delays and we navigated through that. We didn't really highlight it a lot in our coverage on Q4 because the teams really just did a great job of working through that. So we did get impacted by that on the supply chain. We have some of that carryover in Q1 and we have that reflected in our guide for Q1. But certainly, as we look forward, we don't see that as being a lingering issue for the balance of the year at least based upon this current strain.
Graham Price: Got it. Understood. Thank you, very much.
Patrick Decker: Thank you.
Operator: There are no further questions at this time. I will now turn the floor back over to Patrick Decker for any additional or closing remarks.
Patrick Decker: Great. Thank you. So, thanks everybody for your time and attention this morning. And again, I appreciate the support and the great questions. We'll be back in touch with you on our next earnings call, if not between now and then. So, have a good day and stay safe.
Operator: Thank you. And this does conclude today's Xylem Fourth Quarter and Full Year 2021 Conference Call. Please disconnect your lines at this time and have a wonderful day.